Operator: Thank you for standing by. This is the Chorus Call conference operator and welcome to the Endeavour Silver Third Quarter 2015 Financial Results. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Meg Brown, Director of Investor Relations. Please go ahead, Ms. Brown.
Meg Brown: Thank you, operator. Good morning or good afternoon, everyone and welcome to the Endeavour Silver Third Quarter Conference Call. On the phone today, we have the company's CEO, Brad Cooke; as well as our President and COO, Godfrey Walton; and our CFO, Dan Dickson. Before we get started, I'm required to remind you that certain statements on this call will contain forward-looking information within the meaning of applicable securities laws. These may include statements regarding Endeavour's anticipated performance in 2015 and future years, including revenue and cost forecast, silver and gold productions, grades and recoveries and the timing and expenditures required to develop new silver mines in mineralized zones. The company does not intend to and does not assume any obligation to update such forward-looking statements or information other than that’s required by applicable law. Thank you and with that, I will turn the call over to Endeavour CEO, Brad Cooke.
Brad Cooke: Thanks Meg, and welcome everybody to this Q3 conference call and our financial results released today. In general, we had a strong quarter in Q3 both from operations and financially, with revenues, mine operating cash flows, operating cash flows and EBITDA all up quarter-on-quarter and year-on-year. We did end up with a net loss however of $14 million and the main drag on our bottom line performance was the falling mix for peso and its impact on current assets on the deferred income taxes and a write-down on marketable securities. On the operational front, we saw silver production up 11% to 1.8 million ounces, gold production up 9% to 15,300 ounces and silver equivalent production up 10% at 2.9 million ounces. We’re on track to meet or beat all of our operating cost and production guidance for the year. So three very solid quarters to start the year. Going to the individual lines and actually before I do that let’s just look at costs. And currently we’ve been benefiting from a lower peso but that’s only about half the story. Once again our operating team has been able to deliver improved efficiencies and higher productivity in each of the three mines and that’s reflected in our consolidated operating costs per tonne, down 38% over the last five quarters from $103 to $75 in Q3. And we take great pride in our ability to react to circumstances and continue to look to trim the cost, and maintain our operating margin. At Guanacevi, that mine is ahead of its plan for the year, primarily due to slightly higher throughput with our recent rates. At Bolanitos, it’s also ahead of plan for the year in the context of our ramp down, 2,000 tonnes per day that is. And with the development of the new LL-Asunción vein is continuing to expand and replace the falling production from Lucero group of veins. Both of those mines are on track to meet or beat their guidance for the year. At El Cubo, we accomplished the phase 2 expansion in Q2 to 2,200 tonnes per day but we did back off in Q3 to an average of up to about 2,000 tonnes per day, and it was just due to some unexpected events, lower than expected personnel and equipment availability, and mine development, we are playing catch here up in the fourth quarter and we are pushing to make sure the mine development gets better on planning by year end. But I’m not withstanding, we’re going to see El Cubo meet its annual silver production guidance but fall short on the gold guidance. So all-in-all, we’re on track for a very solid year of very significantly higher production, significantly lower costs, and I believe this will be our sixth consecutive year of meeting or beating our production cost guidance. So that’s the overview and operator I think we’ll just open it up for questions.
Operator: Great, thank you. We’ll now begin the question-and-answer session. [Operator Instructions] The first question today comes from Brian Martin with Raymond James. Please go ahead.
Brian Martin: Hi guys, thanks for taking my question. I just want to dig in a little bit on these costs, especially going through the [indiscernible] a tonne. I mean what should we be looking at going forward in the fourth quarter or into next year?
Godfrey Walton: Hi Brain, this is Godfrey. I think you’re going to see similar costs to Q3. Assuming that the peso stays where it is. And from the operating side of things, we look like we’ve got pretty good control on the cost, we may be able to tighten those up, so we don’t expect any big jumps as we go forward.
Brian Martin: Great. Thanks, guys. That’s all I had.
Operator: [Operator Instructions] The next question is from Andy Schopick, a Private Investor. Please go ahead.
Andy Schopick: Thank you. Brad, I’m going to ask you to venture an opinion based on your many years of experience in this business and running the company. Under the current conditions that exist in the whole mining sector, do you wish to venture any opinion about the viability right now of the sector and the ability to continue under the current gold and silver price conditions and what's different about the situation this time compared to prior years, say, before 2008?
Brad Cooke: That’s several questions in one, Andy. Thanks for your question. What I think was different from the 2003 to 2008 move up in the silver prices that was initially fundamentally driven. That is real growing industrial demand primarily for our electronic products. I think electronic demand peak on an annual basis during that period up in the 6% range, now it's growing only at about 3%. And so real demand has pulled back, but what pushed it to its high was from 2009 to ’11 was not real demand at all. It was actually boom of an investment demand. These comments are future gold as well. So that boom was excessive. In Greenspan’s terms, it was probably irrational exuberance and we're still paying for it with the full year correction. I think the correction is just about done, but that’s an opinion. And to the rest of your question, yeah, I think, first of all, the mining group, we are pretty resilient bunch. So we will roll with the punches no matter how tough and so you’ve seen the entire sector, gold and silver, continuously reduce costs and pare back operations to stay alive and this has been four years in a row now the sector has been doing that. How much more is possible? In general, not a lot for Endeavor. We still have a little bit more to capture at El Cubo. And Q3 was really our first full quarter with expanded rate at El Cubo and we didn’t get to our forecasted rate. We hope to get there here in Q4. I think there is also a little bit more grade to capture at El Cubo, which will have a very nice additional impact on costs. So I think everybody has got a little bit more to consume, but not a lot. And then you are basically from a fundamental of view, you are at steady state. We are finally seeing some failures, but they are at the very junior end of the sector, in both gold and silver. You are always seeing the smallest companies at the toughest debt cash ratios going under. And I think we will see a little bit more of that, but like I said we are originally in bunch, Andy, so probably not a lot. I don’t see any huge change on the fundamental side from the point of view of mine shutdowns. Interestingly enough, Andy, according to some research groups, there was a supply/demand deficit last year of about 11 million ounces. I believe that was Mining Focus out of London. And they are forecasting almost doubling of that supply/demand gap this year should. So it does imply that we must be getting close to bottom and that fundamentals will in fact reassert themselves as that gap between supply and demand grows. Does that help?
Andy Schopick: I appreciate the answer. And as far as the last part is concerned, let me just say that that situation existed with platinum as well and yet platinum prices continued to dive. So I'm not sure that I'm overly confident or optimistic about any supply/demand ratio, because I really don't know what the distortions are out there relative to China or somewhere else, but in any event certainly it is not the only factor in terms of determining a bottom?
Brad Cooke: Sure enough and coming back to the concept of industrial demand or jewelry demand in the case of India, China is on track to come close to if not break it’s 2013 record from gold imports. India is on track to beat its record last year for silver imports. So there is still real growth coming out of the Far East. It’s just that we’ve seen so much selling out of inventory in the case of gold comes from the ETFs. In the case of silver, I honestly don’t know where it’s come from.
Andy Schopick: I’ve heard that from other places as well. All right, thank you very much.
A – Brad Cooke: Thanks for your question.
Operator: [Operator Instructions] There seems to be no questions at this time. I will turn the conference back over to Mr. Brad Cooke for closing comments.
Brad Cooke: All right. Well, thank you very much everybody. We’ve had three very solid quarters. We expect Q4 to be similarly solid and that’s – we have survived yet another year of lower metal prices. As I mentioned just a couple of minutes ago I think we can probably do a little bit better on the cost side, essentially the accrual and I am looking after this four-year correction for turning up the tide in coming months, who can say when, but – and we can run our business at these prices for the foreseeable future. I guess, if you’d ask me, if we are going to do this for five or ten years, well, we have been remarkably successful doing what we have to do. I think that is your answer. Any way again, thanks for joining in. And we’ll talk to everybody for our year-end call in the New Year. Over to you operator.
Operator: Thank you. This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.